Operator: Welcome and thank you for joining IDT's [break in audio] 2009 conference earnings webcast. The webcast will begin with remarks by Jim Courter, CEO for IDT Corporation. Thank you, sir. You may begin.
James A. Courter: Thank you very much, and good afternoon. This is Jim Courter. [Break in audio] with me. This announcement is pre-recorded but it's not edited so, if I make a mistake, I'll just go over it and we'll just keep on going. First of all, IDT's CFO, Bill Pereira, and I will be reporting to you, as you know, on IDT's financial and operational results for the fourth quarter of our 2009 fiscal year - that, of course, is the three months ending July 31, 2009 - and also reporting on the full 2009 fiscal year. This quarter we are filing the exact same format we announced in the prior quarter. We're doing it to minimize costs. We did not post our earnings release over the wire. You can view or download a copy at the Investor Relations page of IDT Corporation's website at www.IDT.net. That's www.IDT.net. We also will file the release on Form 8-K with the SEC to ensure compliance with all disclosure requirements. Today we are again giving our remarks via a pre-recorded webcast and are soliciting questions regarding the company and our fourth quarter and annual results in writing rather than during the webcast. As our longer-term stockholders will recall, the number of questions asked by shareholders using the old conference call format had declined steadily, until the point at the end of the second quarter we had absolutely no questions. Significantly and contrariwise, we experienced a significant uptick in the volume of questions from stockholders with the new written format we used the last quarter and, as such, are going to use it again on this call and probably in the future as well. If you have a question for us after listening to our remarks and reading the accompanying earnings release, please, if you have a question, e-mail it to IDT Investor Relations at invest@idt.net. That's if you have a question e-mail us at invest@idt.net. We'll accept questions through the close of business tomorrow, October 28th. Questioners should provide their name and their firm name, if applicable. If we can provide a constructive answer to your question - as we hope we can for each one - we will post your question, along with your name and your firm's name and our answer, on the Investor Relations page of IDT's website as early as Tuesday, November 3rd or, if that's impossible, as soon thereafter as possible. Obviously, if it's on November 3rd we'll do it when the market closes. We also filed a Form 8-K with the SEC containing the questions and the answers. If you have any questions or suggestions regarding this process itself, please e-mail us at the exact same address. We'd appreciate it. Before we begin the discussion of the financial results, please recall that any forward-looking statements we make during the course of the call, either in our prepared remarks or in the written questions and answers, whether general or specific in nature, are subject to risks and uncertainties that may cause actual results to differ materially from those which we anticipate. These risks and uncertainties include, as you know, but are not limited to, specific risks and uncertainties discussed in the reports that we file periodically with the Securities and Exchange Commission. We assume no obligation to update any forward-looking statements that we've made or may make or to update you on the factors that may cause actual results to differ materially from those that we forecast. During the course of our discussion today and our prepared remarks and possibly in the written Q&A we will make reference to adjusted EBITDA. As you know, that's earnings before income taxes, depreciation and amortization. Adjusted EBITDA for all periods discussed during our remarks is a non-GAAP measure representing operating income exclusive of depreciation, amortization, exclusive of restructuring and impairment charges, gains or losses as a result of business or asset sales, and exclusive of income from an arbitration award. It is one of several key financial metrics used by management to evaluate the company's and the different segment's operating performances. The schedule provided in the earnings release reconciles adjusted EBITDA to the nearest corresponding GAAP measure, loss from operations for each of our segments and for the company as a whole, as well as to net loss on a companywide basis. Now let's get started with the financials. Those of you who have reviewed our earnings release will note that we achieved positive net income during the fourth quarter of fiscal 2009. Aided by reversal of a $16 million tax accrual, we recognized net income of $7.2 million for the quarter or $0.35 per share. That compares to a net loss of $86.4 million in the fourth quarter of 2008. This monumental change is no surprise to those who've been following our progress closely. The fourth quarter of 2009 marks the fifth consecutive quarter of positive earnings from operations as measured by adjusted EBITDA. For the year we generated $54.[inaudible] million in adjusted EBITDA compared to a negative adjusted EBITDA of $63.9 million in fiscal year 2008. As Bill Pereira will detail for you, this improvement was generated largely by cuts in corporate overhead, divestiture of non-core cash-burning assets, and most significantly, by substantial improvements in the operational performance of our two core businesses - IDT Energy and IDT Telecom. In the future we'll most likely refer to IDT Energy as IDT GEnie or GEnie Energy. GEnie, by the way, is a name we purchased from a major U.S. corporation some years ago. Both businesses deserve credit - great credit, as a matter of fact - for overcoming and transcending the global financial and economic meltdown, delivering phenomenonal results that exceeded all expectations, frankly. In addition, we've been working through the cost items that comprise the difference between our operational performance as measured by adjusted EBITDA and our bottom line results. Depreciation and amortization charges have fallen steadily in recent years as we lowered our CapEx expenditures and fully depreciated older assets. Depreciation and amortization charges were $65.7 million in fiscal 2008 and dropped to $49.3 million in fiscal 2009. This improvement was realized as we migrated our network from a decades-old circuit switch architecture to a soft-switch IT core and an IT TVM Edge [topography]. As we began to wrap up our turnaround program, restructuring charges declined from $34.6 million in fiscal 2008 to about $10 million this year, fiscal 2009. And impairments, which were $28.3 million in fiscal 2008 and totaled $70.8 million through the first third quarters of fiscal 2009 reflecting the global decline in asset values were reduced to $200,000 in the fourth quarter of our fiscal [break in audio] 2009. In fiscal 2010 we expect that these general trends will continue as we complete implementation of our turnaround program. We also hopefully have a reduced amount of goodwill remaining on our books, and we hope that the economic recovery continues. If so, IDT's bottom line results should track our operational performance more closely as we move forward into the future. Having said that, there are several reasons why the extraordinary level of adjusted EBITDA achieved during fiscal 2009 may not be sustainable. During most of 2009 IDT exploited unusually favorable market conditions to boost gross margins substantially. These conditions have dissipated somewhat lately as energy prices have stabilized. Moreover, we do not expect IDT Energy to be able to continue to expand its customer base in New York State at growth rates commensurate with recent periods. This, however, may be offset by licensing and subsequent business efforts in some of the jurisdictions that we're looking at. Also, IDT Telecom faces continued strong competition in both our wholesale and retail channels. Competition and macroeconomic realities in both channels have caused revenues to decline at a 15% annual rate over the last two years and made it difficult to increase margins. In response to these two pressures, Telecom has initiated several significant initiatives during fiscal 2009, and I'll mention three of them. Beyond any doubt whatsoever in my mind, the most significant initiative was our purchase of the remaining 49% of UTA. UTA, as you know, is our calling card distribution business. This will allow us to have full operational, full distribution and full pricing control. We were never able to completely align our interests with those of UTA before. That problem is now solved, and we feel we will have positive manifestations that materialize in the years to come. Telecom also developed a new international mobile [inaudible] card for [inaudible] wireless carrier networks. The world is going wireless, and UTA wants to be part of the trend. The cards are sold through UTA's distribution network to consumers who then transfer minutes to friends and family overseas. This could become a powerful new product for IDT Telecom. The modernization of our switching and network infrastructure to take advantage of new technologies a third change that's been implemented to respond to the aforementioned two major challenges. These and other initiatives look promising, but they do not yet constitute a proven strategy to counter the intense competitive pressures we face, the continuation of illegal practices by some prepaid calling card companies, illegal practices that we've mentioned many times before on these calls and practices that we continue to fight alone and in conjunction with state and federal authorities. Finally, much of IDT's improvement in adjusted EBITDA during fiscal 2009 resulted from our previously announced turnaround program, specifically our decision to narrow strategic focus to two core divisions - Telecom and Energy - cutting overhead and streamlining operations. And executing on this program during fiscal 2009, we sold, closed or disposed of many non-core businesses and initiatives. We reduced corporate overhead by 50% compared to 2008, cut companywide SG&A by 30% year-over-year. Our efforts in this regard are now largely completed, so additional gains from streamlining and cost cutting will be comparatively modest. It is clear, however, that our turnaround program was hugely successful. It's left the company more competitive, more professional operationally, more solid financially, and in a much more improved position for the future. These improvements will also have a positive affect on our balance sheet, we believe. Many investors are telling us that the company's cash reserve and low levels of long-term debt are central to their view of IDT's true value. As we speak, our market cap has not yet climbed back to the $100 million required to meet the New York Stock Exchange continued listing standards, yet we have cash, cash equivalents or marketable securities, including restricted cash, cash equivalents and market securities, of $181.9 million. I do not have to say more with respect to that. Obviously, investors should exercise appropriate prudence when evaluating our balance sheet and our businesses. Finally, I'd like to articulate another change at IDT that makes the company fundamentally - in my mind fundamentally - a more attractive investment. When you think about it, it is profoundly obvious, but I've never really articulated it on these calls before, and that is a change in our approach to realizing shareholder value. Since its inception, growth at IDT has often been achieved by identifying and nurturing potential growth initiatives, that is, the vision to spot and exploit new technologies or new methodologies, and then to monetize those new technologies and methodologies through transactions. You, I think, all know what I mean. For many years we tolerated ongoing operational losses as an acceptable cost provided that we provided periodic monetization events sufficient to sustain and grow the company in the long run. Our recent turnaround represents the manifestation of a more traditional and pragmatic approach. We are now focused on continuously improving the performance of our core businesses, Telecom and Energy. In our estimation, both businesses can generate significant long-term value for our shareholders. We're still IDT, however, and when we feel it's right and the risk is easily accommodated within operational revenues, we will look for and exploit game-changing technologies and products, but they will be accommodated by profits and not cash reserves. An example of this is our investment in oil shale and developing new technologies for the extraction of oil and gas from oil shale, coal and [inaudible]. You will hear much about our technology and our progress in this area during future calls. Our goal is provide shareholders with an appropriately balanced allocation of capital and to create a secure platform for long-term value for shareholders. Before I conclude my remarks, I want to say something on a personal note. As we previously announced, I retired last week as CEO of IDT, although I will continue in my role as Vice Chairman of both IDT Corporation and IDT Genie Energy. And I'll be very active on the company's behalf in the future. I spent 13 years at IDT and devoted myself entirely to the company, as every good CEO does. I enjoyed the good times and successes as well as working through the challenges, but nothing has been more rewarding than the work we've done during the last 18 months or so, turning around the company one day at a time in the face of a global economic downturn. Because of the hard work done by the entire IDT team this year, I am confident that Howard Jonas, who's returned to CEO, Bill Pereira, who's our CFO, and the entire IDT management team will produce great value for our shareholders in the years ahead. It's been a great honor to work with so many wonderful people here at IDT, many of whom have become my personal friends. Their ingenuity, their expertise and hard work are the company's most valuable assets. Thank you very much. I would like now to turn the call over to our CFO and my friend, Bill Pereira. Bill?
Bill Pereira: Thank you, Jim. Jim, I just want to take a moment to share with you what a great pleasure it has been working with you during your tenure as CEO of IDT. I have appreciated the wise counsel and leadership you were always willing to provide, and I very much look forward to continuing to work with you in your capacity as Vice Chairman of IDT's Board of Directors. And I take great comfort in knowing that we will continue to share your experience, knowledge and steady guiding hand. I would like to start our Q4 and fiscal year 2009 discussion by pointing out that Q4 was a remarkably productive quarter, with considerable operational accomplishments that further contributed to the drastic improvement in our financial performance this fiscal year. In addition, during the fourth quarter we consummated several important transactions that we believe will strengthen the company's financial and operational position. We paid off our outstanding balance with the IRS stemming from their audit of our fiscal years 2001 through 2004. We sold off significant real estate holdings in two separate transactions. We purchased the outstanding interest in our UTA calling card distribution company. And we closed on a significant commercial and financing agreement with BP Energy. Together, these transactions bring to fruition many months of hard work by our employees to strengthen and better position our core businesses while at the same time enhancing the company's financial stability. Let's begin by taking a look at operating results for the fourth quarter and a few highlights for the full fiscal year 2009. Our fourth quarter revenues of $352.6 million reflect a decline of 21.6% year-over-year led by declines of 51% in IDT Energy and 15.7% in IDT Telecom. For the full fiscal year IDT's revenues were $1.54 billion, a 12.4% reduction from fiscal 2008. Revenue declined 15.4% at IDT Telecom but rose 6.4% at IDT Energy. At IDT Telecom the rate of annual revenue declines have been relatively consistent for several years now, and adjusting this decline is a key strategic challenge for the company in fiscal 2010. The largest IDT Telecom segment, platform services, generated $292.4 million in revenue during the fourth quarter, a 15% decline compared to Q4 2008. The platform services segment is mostly focused on delivering international long distance telephony services to retail and wholesale customers worldwide. The segment is comprised of many business units, the largest of which are wholesale carrier services and U.S. prepaid calling cards. Revenues from our wholesale carrier services business declined year-over-year, reflecting the further commoditization of international calling minutes and continued competitive pressures. Revenue at our U.S. prepaid calling card business also fell year-over-year as a result of continued competition and pricing pressures as well as continued softness in consumer demand. We are hopeful that our recent acquisition of a minority interest in UTA, our U.S. prepaid calling card distributor, will enhance our ability to compete more effectively in this key segment of our business, and we believe that an improvement in our prepaid calling card business would also have the follow on benefit of strengthening our wholesale carrier business as well. Full year revenue from the platform services segment fell 14.4% compared to fiscal 2008, reflecting declines in minutes of use and average revenue per minute for both our wholesale carrier and retail businesses. Our legacy consumer phone services business or CPS, which provides residential, local and long-distance calling services, continues to [inaudible] at slightly lower than expected levels. Revenues were $11.6 million in the fourth quarter of fiscal 2009, one-third lower than the year ago level. For the full year, CPS revenue was $53.7 million, down 33.3% from fiscal 2008. At IDT Energy quarterly revenue declined by 51% year-over-year to $37 million, reflecting steep declines in the retail prices of both electricity and gas. This drop more than offset a 5.6% year-over-year increase in total meters served or approximately 397,000. For the full year, revenues were up 6.4%, reflecting the increase in meter counting consumption offset by falling electric and gas rates throughout much of the fiscal year. Companywide gross margin for the quarter rose 40 basis points year-over-year to 23.6%. Gross margin for IDT Telecom slid 230 basis points to 21.8%, mostly because of the Q4 2008 gross margin reflected a significant one-time benefit from a $10.9 million reversal of accrued regulatory fees associated with our U.S. prepaid calling card business. We benefited during Q4 from a remarkably strong performance at IDT Energy, where the gross margin for the quarter rose to 25.3%, up more than 1300 basis points year-over-year. I should point out that we don't foresee these margin levels at IDT Energy being sustainable as energy prices stabilize or begin to increase. For fiscal 2009, company gross margin increased 210 basis points to 23.7%, led by a 1600 basis point jump at IDT Energy. Gross margin at IDT Telecom fell to 21.8%, down 90 basis points from fiscal 2008. Our continued cost cutting and streamlining efforts reduced companywide SG&A expenses for the quarter to $65 million, a 26.6% decline compared to Q4 2008. Reductions in salary and benefits, professional fees and sales and marketing substantially contributed to the overall reduction. At IDT Telecom SG&A expenses for the fourth quarter were $49.7 million, a 24.6% reduction compared to Q4 of 2008. SG&A expenses were also down to $4.3 million at IDT Energy during the quarter, largely as a result of a sales force restructuring program to create a significantly smaller but better trained sales organization. For the full year, SG&A expenses at IDT Energy were up 23.2% from 2008 to $25.7 million, mainly as a result of higher compensation, billing-related fees and customer acquisition costs. Corporate SG&A expenses increased from $3.1 million in Q4 2008 to $5.6 million in Q4 of 2009, but this was largely as a result of a one-time $6.2 million benefit recorded in Q4 2008. For the fully 2009 fiscal year, companywide SG&A expense totaled $293.7 million, a 29.8% reduction compared to fiscal 2008. This decline was led by a 53.3% reduction in corporate SG&A expenses from $60.9 million in fiscal 2008 to $28.4 million in fiscal 2009. I would like to point out here that we have successfully executed a majority of our cost-cutting initiatives, such that our current level of SG&A expenses now offer relatively modest opportunities for future reductions. The reduction in SG&A contributed substantially to our improvement in companywide adjusted EBITDA. Adjusted EBITDA for Q4 2009 was $15.9 million, up 83% compared to the year ago quarter. For the full fiscal year, IDT generated $54.2 million in adjusted EBITDA, a remarkable increase of $118.1 million compared to the $63.9 million in negative adjusted EBITDA in fiscal 2008. And as I have mentioned in the past, it's significant to me that all segments of the company contributed to this improvement as I believe it puts us in a stronger position to sustain our progress going forward. In Q4, IDT Telecom contributed $15.4 million in adjusted EBITDA, down 2.9% from the same quarter a year ago. Adjusted EBITDA for the platform services segment rose 7% over the same period on the strength of lower connectivity costs and SG&A reductions, whereas adjusted EBITDA contributed by our CPS segment was down 27.1% to $3.4 million, slightly above our expectations and consistent with the fact that we're harvesting that business. IDT Telecom delivered $49.5 million in adjusted EBITDA for the full fiscal year, well beyond our expectations and a 28.9% increase over fiscal 2008. Platform services generated $30.4 million in adjusted EBITDA, up by 141.3% compared to the year ago period. Adjusted EBITDA at CPS for the full year was $19.1 million, a 26% declined compared to fiscal 2008. And at IDT Energy the combination of strong growth in margins and meters as well as reduced SG&A expenses helped boost adjusted EBITDA to $5 million in Q4 2009, up from $1.6 million in Q4 of 2008. And for the full year, IDT Energy contributed a record $45.5 million in adjusted EBITDA compared to $6.2 million in fiscal 2008, reflecting strong margin growth and increased meters served that may not repeat going forward. Throughout fiscal 2009 we have seen consistent improvement in our levels of operational performance as measured by adjusted EBITDA, but the cost of our restructuring program and the negative impact of asset devaluations stemming from the global economic decline kept our operating income in the red. However, the fourth quarter we achieved yet another important milestone in our turnaround by generating positive income from operations for the first time since Q1 of 2008. In that quarter, however, our operating and net income numbers were positive impacted by a non-recurring $40 million arbitration award. Income from operations during Q4 was $1.8 million compared to a loss from operations of $59.2 million in Q4 2008. For an apples-to-apples comparison, the restructuring and impairment charges in Q4 '09 were $1.8 million compared to $42.3 million in Q4 2008. For the full fiscal year, we reported a loss from operations of $73.5 million compared to a loss from operations of $162.1 million in fiscal 2008. IDT's net income for the fourth quarter was $7.2 million or $0.35 per basic and diluted share, comprised of income from continuing operations of $12.7 million, which included a $16 million reversal of an income tax accrual and a loss from discontinued operations of $5.5 million. It's worth noting that even given the impact of non-recurring events, the $7.2 million in net income in Q4 2009 represents a $93.6 million important over the $86.4 million net loss during the fourth quarter of fiscal 2008. The net loss for fiscal 2009 was $155.4 million or $6.90 per share compared to a loss of $224.3 million or $8.84 per share in fiscal 2008. Given the fact that our turnaround plan has been substantially put into effect, that our balance sheet is better positioned and that the global decline in asset prices seems to have stabilized, we are hopeful that going forward the disparity between adjusted EBITDA, operating income and net income will be narrower. Turning our discussion briefly to IDT's cash flow, net cash used in operating activities during the quarter totaled $0.5 million. This includes $13.4 million to pay to the IRS to satisfy our remaining obligation stemming from the audit of fiscal years 2001 through 2004. For all of fiscal 2009, net cash used in operating activities totaled $101.4 million, but this total includes $113.6 million in income tax payments for fiscal years 2001 through 2004. In fiscal 2008, by contrast, IDT spent $141.1 million in cash for operating activities, of which only $13.1 million were income tax payments. Now turning to our balance sheet, cash, cash equivalents and marketable securities stood at $181.9 million at the end of the 2009 fiscal year, including $70.1 million in restricted cash and marketable securities. Also, cash of $13.1 million was included in that as discontinued operations as [inaudible] 31, 2009 related to our European prepaid financial services business, of which IDT expects to be paying $10 million upon the confirmation of the sale of this business in Q1 2010, in addition to the approximately $3 million that it expects to receive from the buyer of [inaudible]. As further evidence of our improving balance sheet, I would like to point out that this marks the second consecutive quarter of improved working capital for the company and the third consecutive quarterly increase in our quick ratio, which measures our ability to meet our short-term obligations given our most liquid assets, improving from 0.84 in Q1 2009 to 1.04 in Q4 2009. As I mentioned earlier, during and after the fourth quarter we executed several important transactions that significantly impacted our balance sheet. In June we paid the IRS $13.4 million to satisfy our remaining obligations stemming from the IRS audit of our fiscal years 2001 through 2004. Primarily as a result of these payments, income taxes payable reported on our balance sheet declined from $123 million as of July 31, 2008 to $2 million at the close of the most recent fiscal year. In June we also acquired the 49% interest in UTA that we did not own for an aggregate purchase price of $9.7 million, of which $4.9 million was cash and $1.2 million was a 36-month promissory note. The seller may also receive up to an additional $1.7 million for post-closing contingencies. As a result of this transaction, the company recorded goodwill of $4.8 million and other intangibles of $4.9 million on its July 31, 2009 balance sheet. Also during the fourth quarter we sold two significant real estate holdings. In June we sold most of our Jerusalem Building in Israel for $12.7 million, of which $6.4 million was used to repay the obligation secured by the building. The company retained one floor of the six-story building, and we received $5.4 million from the sale. On the last day of the fiscal year we sold our Palo Alto real estate holdings for $62.7 million. That transaction reduced property, plant and equipment by $58.1 million and notes payable by $57.6 million. IDT's net proceeds on the sale of $3.1 million, which was subsequently received in August 2009, are classified on the balance sheet in other current assets as of July 31, 2009. Also in July IDT Energy entered into a preferred supplier agreement with BP Energy under which IDT Energy agrees to purchase the majority of its electricity and natural gas from BP. At the close of the fiscal year on July 31, 2009, IDT had approximately $57 million of restricted cash to guarantee advanced purchases of electricity and gas from [inaudible] and other system operators and wholesale suppliers. As a result of the BP agreement, we have been able to free up approximately $48 million of the restricted cash on our balance sheet since the close of the fiscal year. Taken in this totality, these recent developments significantly improved our balance sheet and enhanced our liquidity. The fourth quarter developments capped in quite a positive way what was a very productive year for IDT. In addition to the Q4 and subsequent milestones I've already mentioned, significant accomplishments earlier in the year included the sale of 50% of our [inaudible] LLC subsidiary to an affiliate of [inaudible], the formation of Israel Energy Initiates or IEI, our alternative energy venture in Israel. Both [inaudible] and IEI, along with IDT Energy, are now part of our newly formed GEnie Energy division. We regained compliance with the New York Stock Exchange's minimum share price listing standard, and the Exchange accepted our restructuring plan to regain compliance with its minimum market capitalization requirement. We had a nearly 30% reduction in companywide SG&A from $418 million in fiscal 2008 to $294 million in fiscal 2009, and we sold or divested several non-core assets, including our IDT Carmel debt management subsidiary, call centers in Puerto Rico and Israel, the spinoff of CPN Media Holdings, and many other smaller businesses and initiatives classified as all other in our segment reporting. The progress we've made as a result of these transactions and our larger turnaround program can be seen in our steadily improving operational performance, capped by our attainment of positive operating income during the fourth quarter. One thing that I feel certain about is that our strong effort in 2009 leads us truly excited to build on this work in 2010 and has put the company in a much better position to deal with effectively with whatever challenges come our way. Before I conclude, I just want to remind everyone to e-mail us with your questions at invest@idt.net by the close of business October 28th. Where we can provide a constructive answer, we will post our response on our website and to a Form 8-K as early as Tuesday, November 3rd following the market close. Again, thank you for your interest in IDT.